Operator: Please standby. Good morning, ladies and gentlemen, thank you for standing by. Welcome to the Natuzzi Fourth Quarter and Full Year 2020 Conference Call. At this time, all participants are in a listen-only mode. Following the introduction, we will have a question-and-answer session, instructions will be provided at that time for you to queue up for questions. Joining us on today's call are Natuzzi's Chief Executive Officer, Mr. Pasquale Natuzzi; then Mr. Pasquale Natuzzi Junior, Chief Marketing and Digital Transformation Officer; the Chief Financial Officer, Mr. Vittorio Notarpietro, then Mr. Jason Camp, President of Natuzzi Americas; and Piero Direnzo, Investor Relations. As a reminder, today's call is being recorded. I would now like to turn the conference over to Piero. Please, sir, go ahead.
Piero Direnzo: Good morning to our listeners in the United States, and good afternoon to those of you connected from Europe and Asia. Welcome to Natuzzi's fourth quarter and full year 2020 conference call. After a brief introduction, we will give room for a Q&A session. Before proceeding, we would like to advise our listeners that our discussion today could contain certain statements that constitute forward-looking statements under the United States Securities laws. Obviously, actual results might differ materially from those in the forward-looking statements because of risks and uncertainties that can affect our results of operations and financial condition. Please refer to our most recent 20-F filed with the SEC for a complete review of those risks. The Company assumes no obligation to update or revise any forward-looking matters discussed during this call. And now, I would like to turn the call over to the Chief Executive Officer. Please, Mr. Natuzzi.
Pasquale Natuzzi: Thanks, Piero. Good day and good afternoon to all and thank you for being present at this conference. It is really pleasure to behavioral to communicate and interact with you for an update on 2020 financial results and business plans in general. As you know, we are a global company with the factories in Europe, Italy, Romania, in Asia, China and South America. And with distribution network and store at the worldwide as well. Therefore we had to face the pandemic at the global level, starting from China in January 2020 until the curve end lockdown in many European nations unlikely. As a planet, in 2020 we completed that the downsides of our factory in the Shanghai, reduced the transformation costs and started the outsourcing in Vietnam to improve the margin. We see the selling, general and administrative expense and in particular, the cost of the labor in 2020 were €320 million minus 15.1% compared to 2019, EBITDA was a positive €12.3 million, significantly improving, compared with the previous year. Sales in fourth quarter are €99.9 million minus 0.6% compared to 2019 with a positive EBITDA of €7.6 million and EBIT of €2.4 million and with an improvement in the cash generation, on which Vittorio Notarpietro, our CFO, will give you further details. We are satisfied with the 2020 order flow which was only 2% less than 2019, if we consider the entire year of the pandemic obviously.  In the second half, the order flow and second half of the year, obviously, the order flow was higher than our production capacity. In fact, at the beginning of 2021, we had a backlog that was a €45 million higher than the previous year. In same way the order flow during the first 15 weeks of 2021 report an increase of 18% compared to 2020 with excellent performance in our market, the only exception of South West Europe and in particular, thanks to the excellent performance of the North American market, for which Jason Camp, our President of Natuzzi America, would be able to provide further details. It should be noted that as we have not been able to participate in the market fairs during the lockdown, we have used the new technologies to digitalize the sales through virtual sales and conference, on which Pasquale Natuzzi Junior, our Marketing Director would be able to provide further details. I will now turn the conference call over to Vittorio for further details on financials. And then I would be here available for any questions may you have. All right? Thank you. Vittorio, it's your turn.
Vittorio Notarpietro: Thank you very much, Mr. Natuzzi. Welcome and good health to everybody there. In that early March 2020 the international authority declared the pandemic. The business stopped in almost in many part of the world and we were immediately forced to make a very difficult exercise for the new cash projection in order to understand under sustained and suppose conditions which could have been the cash shortage -- cash needs for Natuzzi in that situation. The result of such exercise done in March, was that we would have needed €55 million. €15 million of those were immediately given available by our main shareholders. Thank you, Mr. Natuzzi. And then we have to find the rest. In comparison, at the end of the year, in comparison with that forecast, this March, we have been capable in 2020 to find €25 million in working capital, I mean trade receivables, inventories, payables, discount or suspension of rents, marketing and traveling expenses [indiscernible] these taxes and so on, plus €22 million with fine, in particular in July 2020, Natuzzi renewed a five years financial credit facilities, more flexible to be used and with this, plus €8 million by suspending or delaying and partially selling capital expenditures, the total of €55 million. In fact the company so far has used only €2.5 million from the credit facility from its main shareholders and have €12.5 still available. Looking at ahead of us, what really matters is that the company is still facing the pandemic right now. In Europe, if we have included the situation of contagious is still difficult. People are in the stringent lockdown regime and commercial activities are still limited. At the same time adding accumulated sound of this backlog, the main goal in these days is to continue to produce and deliver to our customers worldwide, facing the difficulties deriving from shifting disruption from a lower availability of certain raw materials. Our production facility in China is currently running well, while in Italy, Romania and Brazil, we still have to see some pandemic difficulties. What we do, to face that. We are reinforcing at our own expenses the statutory checks and actions to prevent the contagion and let people feel comfortable in doing their job. As you can imagine manufacturing piece so far, the first item in our agenda, followed by the daily fighting for shipping and semi-finished goods availability. But in spite of such pandemic difficulties, Natuzzi has been capable to produce during the first quarter of 2021 better than in the fourth quarter 2020 which in turn, as you know, was better than the third quarter 2020. So assuming a positive evolution of the pandemic situation, we are working for an improvement of Natuzzi business performance this full year versus 2020. I think that we will definitely continue to manage the company having in mind, first of all to preserve the cash in hand to keep it safe. Cash is gaining more than ever. It's also true that the vaccination campaign has started, now is accelerating giving all of us a better feeling for the place, better for the foreseeable future.  Our weekly projection, cash projection, says that available cash will continue to increase, also thanks to a new financial facility for additional €5 million, we have just got a few weeks ago, which have been used to finance the additional working capital needs deriving from the acceleration of production in the first quarter this year. By the end of 2020, the company like any other industry experienced an significant increase of raw materials and shipping cost, which has been positive by increasing our selling price worldwide. And it said about the uncertainties related to pandemic in accordance with the goal to preserve cash, we will hopefully start again this year, investing in retail development with particular regard to the key markets and America first. And with regard to North American market, I'm pleased to let Natuzzi Americas President Jason Camp to give us more flavor or what's the business situation today in your country. Thank you. Jason, please.
Jason Camp: Thank you, Vittorio, very much. And Mr. Natuzzi. Good morning and good afternoon to everyone in the US and around the world. It's a pleasure to be with you today. I think as many of you know, I joined our passionate team about 18 months ago. I spent the last 25 years helping home furnishings companies build and rebuild their businesses. And before I share maybe more recent and relevant results, I just thought it would be helpful to maybe give you some perspective and context. Again, I joined in Q4 of 2019 and I really spent that quarter listening, learning, and mining, for opportunities, right, kind of going to school on the situation, if you will. The other thing I really want to do, when I first joined with was, the set a new cultural tone in the region and I really have focused my time culturally on six things. One, for us to be curious in the region, study hard, think rationally, to architect a competitive and compelling vision for who we want to be and how we will compete. Three, build a formidable team for recapture the soul and spirit of the Natuzzi brand in our region. Five, focus on fewer bigger ideas. And six, but maybe most importantly, play to win. I think in many ways in our region we had been too comfortable losing, and we have recommitted ourselves to playing to win. In the first quarter of 2020, my second quarter, we spent all of our time and energy rebuilding and reorganizing the leadership team, marketing, merchandising, wholesale sales, retail stores, and store development. And then of course very quickly in Q2, we experienced a very hard shut down and with no e-commerce and no real way to sell digitally, the shut down for us was much harder than a may be one of our other US retail competitors. Immediately furloughs, salary cuts and maybe more importantly time to think. I think in retrospect, maybe this time to think was a blessing for our team. We are -- on dozens of video calls, essentially laying the groundwork for our turnaround, spent hours and hours on talent merchandising stocking programs, marketing, and store growth strategies. That kind of takes us to Q4 and maybe and even this quarter of Q1, I'll share a few results, all of them will be in US dollars, because that's what I live in. All focused on order flow not net sales, just for clarity sake. Today, our -- and year-to-date our region represents about a third of the company's business. As most of you know, we have about 20 retail stores in the region, across both brands and both company owned and independently owned. My comments will focus on the 13 Natuzzi Italia stores, we operate ourselves. So in Q4, after a few months of being open, we really began to see signs of increased momentum in both the wholesale and the retail channel. Order flow for the branded wholesale side of our business was up 39% in the fourth quarter. And our Natuzzi Italia retail stores, those 13 I mentioned, were up 28% over last year. So, we ended the fourth quarter very pleased with ourselves and what surprised us honestly was -- what began to happen in the first quarter and our further momentum really has been confirmed. Branded wholesale growth -- grew 67%, although not completely fairly comparable, it gives you some indication of an accelerated pace of growth and at least continued growth. And maybe even more importantly, our 13 retail stores grew 124% over the prior year, again not completely fairly comparable, based on last year's lockdown. So you get a general sense that our growth is accelerating, not in decline right now. And maybe even more even more helpful, in our retail stores, our Q1 '21 volumes grew 29% over Q4. So our sequential growth quarter-over-quarter grew 29% in our retail group which we're incredibly proud of. When we kind of -- when I look into our history for our retail group in 2018 and 2019, our best five to seven stores were averaging about $2.5 million. Today as we sit here in Q1, if we annualize our Q1 volumes, our best stores are pacing at $4 million. We, as I mentioned before, we have about 20 stores in the region across both brands and company and independently owned. We're working on opening six to seven new stores across both brands and all types of ownership this year and we are working very closely with our HQ partners to get e-commerce live in the back half of 2021 in the United States. It will take time to be financially significant but it's still an important and symbolic advancement for our group to be able to begin to sell online and have stronger digital tools at our fingertips. I'm sure many of you have questions kind of about our multi-year growth plans and growth strategies and we're really not prepared to answer those on this call, but we are looking forward to sharing those in probably a more purposeful communication later this year. And with that, thank you again for allowing me to join you guys today.
Pasquale Natuzzi: Thanks, Jason. Good speech. Very clear the vision and the strategy. Thank you.
Jason Camp: You bet. Question?
Operator: [Operator Instructions] We'll take our first question from David Kanen with Kanen Wealth Management.
David Kanen: Good morning. Good afternoon. Thank you for taking my questions and congratulations on reaching an operating profit in Q4 and I appreciate the commentary from Jason Camp. I think it's very helpful to investors. I think you guys landed the potential rock star so I commend you guys. And again, congratulations. So my first question is clearly the business hasn't selected in the US and North America. And I know that Europe has been affected -- has continued to be affected in this behind North America in terms of the vaccine distribution and things starting to return to an opening-state. Could you give me color specifically in your largest European market, in the UK, have you guys looked at data when they have not been in lockdown? When things have briefly reopened for a period of two to three weeks? Can you tell me -- give me some color indication of how the sales have done during that period so I can potentially apply that to the future when things reopen in the near future in Europe.
Pasquale Natuzzi: Okay. Pasquale is speaking. So talking United Kingdom, the sales are down. I mean not sales, the order flow because it's different. Order flow from the sense because as I mentioned before, we had the good backlog at the beginning of the year. So we have been the manufacturing, delivering the product to the consumer despite the lockdown of the country. But regarding the order flow, United Kingdom, within the European Council, let's say region, have been the most penalized one at because it's a 90 days that the store are closed and so we are down with order flow, 64% in United Kingdom. But we are opening, not open, seems that they will reopen the store within next week. So that's the information we have.
David Kanen: Okay. I'm not sure if you totally understood my question. I'm aware that they're going to be reopening shortly, but my question is specifically and during the pandemic, there have been windows, where the UK has somewhat open and people have gone out to the stores and so forth during those periods. Could you give us color or an indication as to how sales or written orders performed during those many windows, if you will, of reopening. So I can apply that to a projection for the future. Was the demand there like in the US?
Piero Direnzo: Yes; last year, okay. Let me see if I've to go out of the question. Okay. I mean the last year, the vision is in United Kingdom, in Europe in general, was great, I mean it was up, floating about order flow last year Europe was performing very, very, very well. It's suggesting those in the first three months of 2021 that almost all Europe has been locked down, primarily United Kingdom, Germany, Austria, those countries in all shutdown. They were locked down almost since 90 days.
David Kanen: Okay. And I've got a couple of more a couple of more questions. As sales, as you start to ship backlog some of these written orders and sales start to ramp up when Europe comes back line assuming North American can continue at this robust pace, hypothetically this is more a question for Vittorio, hypothetically at €120 million in quarterly revenues, where would gross profit settle based on your projected mix? Would we get back to mid-30% level at €120 million or what level do we need to get that to get back to a 34%, 35% gross profit?
Vittorio Notarpietro: Hi David, you know, the €120 million is too high compared with the actual improvements we have done. We have already got in our industrial platform, will be lower than that, but higher than Q4 and the comparison with Q1 '20, it will be a double-digit positive comparison. I cannot anticipate the gross margin. Sorry for that.
David Kanen: Okay. I'm trying to get an understanding of what I would call fixed cost overhead and as you drive higher revenue, what kind of leverage would you get in gross profit? Is it -- can you provide any commentary or indication directionally as to higher levels what the gross profit potential is?
Vittorio Notarpietro: The higher will be the portion of direct retail. The high will be, you know, the gross margin in consolidated financial statements as you know very well. So as soon as practicable, we have to start again opening stores, managing like the way, Jason is capable to do and we also did some improvements worldwide. For this year, we have-- although we had significant increases in raw material prices and transportation costs. So far we have given to the market, some price increase in order to offset those price increase. This is what we can afford so far. Then it will be a function of the VOS portion on total sales, as you know very well.
David Kanen: Okay. And then, if I may ask a question to Jason. I believe Restoration has around 65 or so locations in the US and North America. In the future, over the next several years, what number do you think is an opportunity for Natuzzi in terms of total store count in the US? Can you get to that level? Should you get to that level or a little bit under over? What's your opinion on that?
Jason Camp: It's a great question. As you know in the branded business, we are going to market with two brands. And we expect to open retail stores across both brands. And we believe between both brands of stores, we can open at least 150 stores in the US over the next 10 years or so. And when you study RH at 65 stores or an Ethan Allen at 200 stores, or even a La-Z-Boy at north of 300 stores. For me those numbers are pretty easy to get to. And of course, in our case, we've built some really strong and excellent wholesale partnerships that it become very productive and successful for us and we will generally build our store network around those best partnerships meeting, be careful to not create conflict.
David Kanen: Okay. And then, I guess this would apply to North America, but could you articulate your digital or e-com strategy and potentially is this incremental? How should we look at it in terms of the opportunity?
Jason Camp: E-commerce, what so just call it, the large ticket business, special -- even more so in special order upholstery, I believe the anchor of our business will always be through our stores. And so our -- almost think of this opportunity more as one where we'll focus on having a stronger connection between our website and our retail stores and the ability to sell through e-commerce. But, we'll just try to build more sort of an omnichannel business where we're channel agnostic and if they spent three hours in the store, but want to go by itself at home, because they left town or they're on vacation, we can make that easy for them. This is a heavily research category and so it's important for us to compete successfully in that research process. And I think honestly, it's too early to for us to be making projections about the financial impact of going to having an e-commerce engine in the US. We're in so much of the early innings here. I think it's probably yet to be understood.
Pasquale Natuzzi: If I may ask to Pasquale Junior to give us more flavor about you know what we are doing? What we plan to do for the future in terms of digitalization? Pasquale, are you there?
Pasquale Natuzzi Junior: Yes. I'm here. Allow me to give you briefly overview of where do we stand today and what we've done in the last 13 months. So, in principle, while pursuing our path into the design and implementation of our omnichannel strategy as Jason was saying, over the last year, we strive to set up really quickly a platform of digital tools, hands -- physical and digital solution, mind the gap generated by the enrollment of trade fairs on one, but also by the contingencies represented by the pandemic and the always growing effect on brick and mortar and retail. As you know, two years ago we partnered with Microsoft for the launch of the first mixed reality store in stores, leveraging on virtual experience based technologies in order to maximize the conversion rate, but also thanks to this gamification, allowing consumers to enhance their customer experience within our stores. But this year COVID had to make us more smart, let's say in practical and forced us to change strategy, getting closer to our consumer digitally. So, basically we integrated different technologies in one, in a web-based platform that allows more consumers buying -- to buy basically on our website, selecting the specific store, booking an appointment with store, and selecting the specific stores that they want to talk to and they want to talk with. And while the jump on a store, let's say conference with a big store and specific store member, they can either select -- they can either visit the store. That means that the store will be open. But in the latest month we also allowed them to have a virtual conference in which they can see -- they could have seen the value proposition and they can availability in the store. So, of course, this experience can happen both physically and virtually. But as we have our e-commerce up and running in UK, Spain and Italy, we started to integrate our store 3D virtual tour with some e-commerce availability in order to display our store design, in order to give an idea of our harmony but also highlighting some of the specific items that we eventually selected for our stock program. So by doing so, we were able in the UK to delivering 48 hours product that we had stock in the UK, that we were displaying online in our virtual stores of the five stores that we have in London for instance. So all of the above technology were designed for both directly operated stores and our franchise store. Last but not least, in the latest month we had to think about how to overcome the enrollment of trade shows and trade events and fares. And so we launched our first beach show, which is an interactive yet virtual event in which we displayed new product to high definition videos, to view vendors and customization feature that allows our dealership to see and can sequenced by our latest collection. For your information, by the early days of May, we will also launch our new website that will come with a fully new design user experience and user interface, would have fully working e-commerce engine that will also be available in the US.
David Kanen: Okay, Pasquale Junior. Thank you so much; that was very helpful. It sounds like you guys are doing a great job on digital side and I appreciate how you articulated that; gives us a good picture. I'm going to just step back and allow other listeners to post questions. I do want to hear about the partnership in Southeast Asia. But I'm going to go back into queue and potentially ask a follow-up. Thank you, again. Congratulations and looking forward to the future.
Pasquale Natuzzi: Thanks, David.
Operator: [Operator Instructions] We'll go next to Greg Cullen with Ramble Sign [ph].
Unidentified Analyst: Hi, everyone. Thank you for taking my question. I guess just following up on, I know David just alluded to, but it would be great to get some more color on the nature of the partnership in Southeast Asia. If you can give some specificity around the valuation of that business, that the cash that we're going to with the. And then, also if you can talk about kind of the, the commercial strategy in terms of number of stores, going to be opened, galleries, etcetera, in those markets in Vietnam, Singapore and broader Southeast States, that would be helpful.
Pasquale Natuzzi Junior: I think you have the best question. You know that to give a flavor with regard to the initiative in Singapore and the fact that we recently did that preliminary agreement with that guy in the Singapore, Vietnamese guy for the Singapore entity, in order to give our shareholders the idea of the potential we have in mind in that region.
Pasquale Natuzzi: Okay. So in -- let's say, we were managing the business until two-three years ago, until 1998 exactly, 2018 -- until 2018, business in China and all Asia was managed by our company in Shanghai Natuzzi, then because we did the joint venture with the Kuka in China to just develop and manage the business in China. Since then we separate -- I mean the -- with -- let's say we decided to incorporate the company in the Singapore in order to manage the business in all South East Asia and even Australia and New Zealand, So, and the company has been recently incorporates and we joined -- we did the joint venture with Mr. Tan, Richard Tan, which is a one of our best manager, been working with us for 20 years So again, but primarily, the reason why incorporate the company in the Singapore is to be close to the market and develop the business in that area, which set up huge opportunity for our company. Was, that's the question, Vittorio?
Vittorio Notarpietro: Yes, if you can give more flavor about you know the gentlemen, that intention to joining us, at least from Vietnam. And if you can give us more flavor about 2021 plans for the company. I know like you that we intend to open 2-3 stores in Australia, if I remember well.
Pasquale Natuzzi: Vittorio, are we talking about, you said -- so again, joint venture in…
Vittorio Notarpietro: Joint venture in Singapore is the matter, is the question. Yes. You talked about Mr. Tan which is already in the venture with us, but we just announced also the intention of Mr. Tin from Vietnam to [indiscernible].
Pasquale Natuzzi: Okay, okay. So Mr. Tin, I mean, first of all, this a potential issue. Okay. Mr. Tin, I know this gentleman since almost 30 years. He is a good business person. He is a good person. He is a well-known in Vietnam and [indiscernible] the contract.  So he has an interest to become our partners and we have an interest to become a partner with Mr. Tin, but because we can enter in the contract business which is something that we are very much interested with. But we are still exploring this potential, this possibility.
Unidentified Analyst: Okay. Thank you, Mr. Natuzzi. Just a follow-up regarding the partnership that we already have, the company we already have, incorporated in Singapore. I think Vittorio alluded to a certain number of store openings and I'm curious kind of, if you can give more detail on the number of stores that are going to be opened in Southeast Asia over the next few years.
Vittorio Notarpietro: Yes, let me say about this year, we have just planned to open in Q3 and Q4, two, maximum three stores in Australia for Natuzzi Editions, which will be third of Natuzzi China, which is our producer in that area. So Mr. Tan will provide merchandise for Australia to opening that. We have already selected the locations. We have a very good retail manager over there, Jo Francis. She the lady. She is with us since two years, may be with Natuzzi. I don't remember exactly. And since we have that lady over there we starting from Australia, where the awareness of Natuzzi is really, really very high. We start -- Mr. Natuzzi started business in Australia, I think 30 years ago, if I may not wrong. Then we are planning for the medium, long-term. For sure we are not building up a new company and finding new people in order to stay with two-three DOS in that area, but as said by Jason, let us do, you know, the medium and long-term job while we face the day-by-day difficulties and goal, short-term goals, which is to produce and deliver in 2021. But we have a plan for that for sure.
Unidentified Analyst: Okay, that's helpful. And just one other question I have. I know that for the past nine months or so, there has been discussion about getting a loan guaranteed by the Government of Italy. Is that still something that we're working on or just given the fact that we have a lot of cash in the balance sheet right now and we're generating a lot of cash and, are we fully funded or are we still considering pursuing that loan?
Vittorio Notarpietro: Thank you for your question. The program is still there. So the Italian government gave another six months in order to get some, let's say, guaranteed loan. The discussions we had this year, they allowed us to be to get some financing, but the overall conditions, not only cost, but the overall conditions, we are not in line with the flexibility, the company needs in order to react to the market. So, like covenants or other legal things that we did not accept. But we were in the position. We were capable to do this and to keep flexible the company, because of the shareholder, Natuzzi shareholder's contribution and because of the €55 million, that I described at the beginning of this meeting. So we are happy to say that we can -- we are at sound financial position so far is increasing this year, will continue to increase hopefully accordingly with our plan and without -- with the projections still mid of July very detailed. If in the meantime, since the, in the meantime, you know the program from Italian government is still there. We are working for some other facilities bank by bank. I mentioned €5 million we got recently from Romania, we are, and we will continue to work to add some other facilities available in the next weeks, of course, they are waiting the full-year financial results in order to get a decision. So, it was our decision to avoid that kind of low, and -- but we have tightened up to get some additional credit facilities with the Italian bank.
Unidentified Analyst: Okay, that's helpful. And just one last thing before I hand it back over to you guys. I think that this is an incredible company and the transformation that's going on is quite amazing and that the growth story, especially in the US, run by Mr. Camp is a very, very exciting story with six stores opening this year and hopefully many more in the years to come. And certainly the e-commerce strategy layered on top of that presents a very compelling story for investors.  And I know that Mr. Natuzzi homes quite a honest company and is certainly aligned with us, but I would be remiss if I didn't point out that this is maybe one of the most undervalued publicly listed companies in the world, especially listed on the New York Stock Exchange and I would think we're at the point where we have a very good story to tell to Wall Street to make sure that the valuation of our company is appropriately reflected in the stock price and you guys know better than me that years and years ago, the stock is trading for hundreds if not, thousand dollars to share and now we're at much, much less.  And it seems like there's a great opportunity to get out and speak to investors and potentially put an investor presentation on our website and get equity research and etcetera, etcetera because the stock is just way, way, way too cheap and the company is doing extraordinarily well. And it's time that you guys get out there and tell the story because I think it will be especially well-received. If you look at our rates and other companies in this space, this is a very hot sector and we would do very well. So I would just leave it at that. And thank you, Mr. Natuzzi and hand it back over to you guys.
Pasquale Natuzzi: I'm sorry, I mean are you Mr. Cullen, because to be honest, the connection is not working very well. You know, I'm..
Unidentified Analyst: I'm Mr. Cullen.
Pasquale Natuzzi: Are you Mr. Cullen?
Unidentified Analyst: Yes. It's me.
Pasquale Natuzzi: Hello -- Mr. Cullen, perfect. Mr. Cullen I'm sorry, if you know, again, the connection is not working very well and but still that -- you know --can you repeat, please few words because you know I'm very sorry, I'm unable really to understand what you're saying and…
Unidentified Analyst: I'm sorry, can you hear me now?
Pasquale Natuzzi: Yes. If you higher the voice a little bit because we are having odd time, as I told you.
Unidentified Analyst: I'm sorry, I'll speak louder and completely. So what I was just saying with that, you're doing an amazing job transforming the company, and it seems like Mr. Tin is firing on all cylinders and sales going up like crazy and company have been...
Pasquale Natuzzi: Is your call, team is in another time. And that would be very pleased to communicate with you. Communications is not working well and...
Vittorio Notarpietro: Mr. Natuzzi, can you hear me? Can you hear me?
Pasquale Natuzzi: Better, Vittorio.
Vittorio Notarpietro: Yes, the question is -- okay. But the question is quite simple. You are doing a great job. You are transforming this company, but the market cap is still what it is. And so he said, we have to organize the call, the connection doesn't work at all. Even with us. Okay, Greg.
Unidentified Analyst: Okay.
Operator: And we do you have another follow-up question from David Kanen with Kanen Wealth Management.
Vittorio Notarpietro: One second, please. One second, please.
Operator: Everyone, please standby for just one moment.
Vittorio Notarpietro: I'm sorry we should be capable to answer.
Pasquale Natuzzi: Mr. Cullen, we probably -- I mean doing review, I'm connected by my home, because I'm working in smart working way. As you know to make it shown that we don't get infected by this horrible virus. Anyway Vittorio told me the, let's say, the asset, the content for what's you said, and I totally agree to review. That's why we are working, boosting our total fashion, the work and commitment to achieve exactly what you are asking for. I can promise you. That's however the goal that we have to follow.
Operator: Thank you, sir. And your next question comes from David Kanen with Kanen Wealth Management.
David Kanen: Vittorio, thanks for taking my follow-up. So in regards to raw material price increases, are you starting to see that flatten out or come down? What is your prediction over the next year for raw materials, if they peak and if there is the potential from margin improvement if we can keep these price increases?
Vittorio Notarpietro: The dollars considering the market today; anyhow, the very -- this is a day-by-day check. We have built up the committee that is working on a weekly basis in order to check prices and availability as far as shifting our concern. So, we are following day-by-day because the situation is really a trade situation. I know you follow other peers in America and we are all in the same situation. So far prices seems to be stable in the very last, you know, days or a few weeks. But the problem is the volatility on that. The today transportation cost are quite crazy. I would hope that you know, this craziness will stop sometime in the future as soon as the economy will start to run again in a more normal situation. These are consequences of pandemic, and these are consequences of someone which is doing some business on that, especially on shipping cost. The growth, assuming the growth -- assuming the today, you know, cost of raw materials and on the basis of, you know, the price increase with it, the leverage for us is obviously volumes versus [indiscernible] we've mentioned, Mr. Natuzzi mentioned at the beginning, the fact that we cut by 50% in China our fixed of cost is not something just that it is very, very important. We are speaking about a double-digit reduction in transformation costs in China '21 versus '20. So far, thanks to the backlog and order flow, Italian plants are working -- all plants are working almost at capacity, full capacity considering the uncertainties that we have to face because of pandemic. But you know, we are running. We have already closed our shipments for Q1. So we are confident about the fact that we did better, because we are improving day-by-day, facing every day new problems, but the company is progressing anyhow. So, it would be just the matter, Dave, in terms of revenue recognition, financial statements, but we know exactly the production are much higher, what we put there has been the production in Q1 versus Q4 last year.
David Kanen: Okay. And then, in regards to the Kuka joint venture, what's your outlook for the next one to three years in terms of contribution and profits from that joint venture?
Pasquale Natuzzi: I can answer. Again the Southeast Asia together with Australia where we have a very, I mean, it's not just Australia, but we are very high brand awareness. We are planning now to open in this year two stores. And then to focus on Australia in order to maximize our supply chain, to maximize the cost of the organization. So Australia would be our priority but also we are exploring the possibility to partner with another gentleman in Vietnam. The operate -- the contract...
David Kanen: I'm sorry, Mr. Natuzzi. I'm sorry to interrupt you but here is a better connection. The question is about Kuka partnership. Can you hear me?
Pasquale Natuzzi: But again, I mean the connection absolutely...
David Kanen: I understand that. I understand that. The question is about, you know, the...
Pasquale Natuzzi: Kuka?
David Kanen: Kuka. You know, the joint venture for Chinese market?
Pasquale Natuzzi: This is the same China. It is doing. We are -- our growth is double digit. I mean, since we did the joint venture in 2018, 2019 was -- the growth was the double digit compared with the initiative [ph]. 2020 we had another grow and 2021 we are planning to open also several new stores. I mean the business in China is doing very well with us, which is also something which has to grow because before we had already an organization that was developing and managing Natuzzi Italia and Natuzzi Edition. Now we separated the organization, just to allow the management to focus one division for Natuzzi Italia and the other division for Natuzzi Edition. So we are very, very and much optimistic about the growth and the opportunity we have left in China.
David Kanen: Okay. Did you say several hundred new stores in China.
Pasquale Natuzzi: So far, we have in total approximately 260 stores, something like that. Okay. Between Natuzzi Italia and Natuzzi Edition. We are planning to open certainly in the next three, four years another 100 store. It's a possible to forecast something like that.
David Kanen: Okay. And then if, if I could ask a question for Mr. Camp, specifically about the wholesale business in the US. Could you give us some color there if that business is coming back?
Jason Camp: I would say 100% Dave. I think there is generally tailwinds in the furniture business at every price level. We are definitely seeing it come back hopefully, my earlier comments, resonated but we have been for the fourth quarter, the branded wholesale business grew by almost 40% and in Q1 again although not fairly comparable, grew by approximately 70%. So, we've definitely seen that business come back. I mean, today the profile of the region I lead is still predominantly wholesale and I am passionate about building the branded wholesale side as I am about building retail.
David Kanen: Okay, that's helpful. I appreciate it. So I mean I guess what's so exciting is here in North America, the business is so strong when they flip the switch, so to speak in Europe and we're clicking on all cylinders. It's exciting to imagine what the full potential of the company will be. So guys, thank you so much.
Jason Camp: I may add, just a quick comment. I mean, I -- we all wake up to seeing sales by region every day and there is a -- there is -- what I can tell you is that what I see when I wake up is that in the regions and countries where we are not in lockdowns and stores are not closed, the business is broadly very, very healthy and obviously when the UK's unlocked down, it's very hard to do a normal level of business. But in general around the world, this -- the order flow is growing at strong double-digit pace when where things are open for business, if that helps.
David Kanen: Yes, that's very helpful. That's actually a follow on to the question that I had previously. So again, guys, thank you so much and I look forward to the next update.
Vittorio Notarpietro: Thank you.
Jason Camp: Thank you, Dave.
Operator: Okay, and one more opportunity. [Operator Instructions] Okay, and it looks like we have no further questions at this time. So I'd like to turn it back to our speakers for any additional or closing remarks.
Piero Direnzo: Since there is no further questions. So we are all -- of course we are all available for any kind of questions you can -- you would like to send over email or if you want to reach out via telephone. So for anything, please contact us. Thank you for joining us today. Have a nice day ahead.
Pasquale Natuzzi: Thank you, all.
Operator: And that does conclude today's conference. We thank you everyone again for their participation.